Analysts : Analyst for Paul Coster – JP Morgan Jim Ricchiuti – Needham & Company Adam Fleck – Morningstar Josephine Millward – The Benchmark Company Barbara Coffey – Brigantine Advisors Brian W. Ruttenbur – Morgan Keegan
Operator: Welcome to the iRobot third quarter 2011 financial results conference call. This call is being recorded. At this time for opening remarks and introductions, I would now like to turn the call over to Elise Caffrey of iRobot investor relations.
Elise Caffrey: Before I introduce the iRobot management team, I’d like to note that statements made on today’s call that are not based on historical information are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risk and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information on these risks and uncertainties can be found in our public filings with the Securities & Exchange Commission. iRobot undertakes no obligation to update or revise these forward-looking statements whether as a result of new information or circumstances. During this conference call we will also disclose non-GAAP financial measures as defined by SEC Regulation G including adjusted EBITDA as we define as earnings before interest, taxes, depreciation, amortization, merger and acquisition expenses, restructuring expenses, net intellectual property litigation expenses, and non-cash stock compensation expense. A reconciliation of GAAP and non-GAAP metrics can be found in the financial tables at the end of the Q3 2011 earnings press release issued last evening which is available on our website. On today’s call iRobot Chairman and CEO Colin Angle will provide a review of the company’s operations and achievements for the third quarter 2011 as well as our outlook for the business for the rest of 2011, and John Leahy, Chief Financial Officer will review our financial results for the third quarter and provide our outlook for financial expectations for the fourth quarter ending December 31, 2011 and fiscal 2011. Then, we’ll open the call for questions. At this point, I’ll turn the call over to Colin Angle.
Colin M. Angle : Thank you for joining us. Our third quarter results were excellent across all measures. Revenue was up 28% from Q3 last year and EBITDA for the quarter increased 76% to $20 million, far exceeding our expectations. EPS grew 85% to $0.50 from $0.27. Excluding one-time tax benefits, EPS more than doubled in Q3 over last year. John will discuss the details of the tax benefit later in the call. Due to strong performance by both divisions in the third quarter and our expectations for the fourth quarter, we are increasing our full year 2011 expectations for the second time this year. Our home robot business is exceeding our expectations while the government business is on track to deliver on the 2011 expectations we shared in February. We expect full year 2011 revenue [Technical Difficulty] million, an increase of roughly 17% over 2010, full year EPS in the range of $1.32 to $1.36, and full year 2011 EBITDA of $67 to $69 million, an improvement of about 40% year-over-year. EPS includes onetime tax benefit of $0.12 in Q3. We are increasing our expectations while also increasing our investment in research and development and marketing programs, critical to maintaining our industry leading position. Based on our current view of future defense spending, we have made a difficult decision to implement a reduction in force in the government division during the first quarter. A decrease in our 2011 externally funded research and development efforts underlies this action. The reduction is limited to our government and industrial robots division which currently comprises approximately 40% of our annual revenue and will not impact our home robot division. This action is expected to result in a non-recurring fourth quarter restructuring charge of approximately $1 million. Our fourth quarter and full year 2011 financial expectations include this charge which is expected to impact EPS by approximately $0.02 to $0.03. Now, I’d like to take you through some of the highlights of the third quarter. On the home robots front, revenue increased 32% in Q3 year-over-year and are up 27% year-to-date. Strong demand for our Roomba 500 robots fueled home robot growth in Q3. Sales of both our new Roomba 700 and Scooba 230 robots, which were only available on our website through the third quarter, continued to exceed expectations. Near the end of the quarter we began shipping our Roomba 700 series to select retailers in the United States and to several international customers for limited distribution in overseas markets. I was in Japan several weeks ago to introduce the new Roomba 700. Our launch attracted more than 150 reporters and response from the Japanese retailers with whom I met was overwhelmingly positive. International home robot revenue increased 56% in Q3 year-over-year as demand in overseas markets continued to be strong. In meetings with our European partners, they commented that market growth for Roomba is outpacing the impact of a weakening economy. We are benefiting from the fact that our target customers, who we call the modern professional, is not being as severely impacted by economic conditions. However, we are closely monitoring indicators for signs of weakness in this market. We expect to see continued growth in the fourth quarter as the Roomba 700 robot hits select retail stores. Domestic home robot revenue is up 10% year-to-date and the US retailers are cautiously optimistic about the holiday seasons despite the macros. The fourth quarter is historically our strongest domestic quarter and we expect to see year-over-year growth in 2011 as well. Our initiative to improve domestic profit margins through strategic management of channel, customer, and product mix helped deliver a 500 basis point improvement in home robot gross margins to 45% in Q3. We are committed to our strategy of profitable by continuing to focus on higher end products and exploring attractive new channels. Our outlook for home robots is very positive and I am confident that we’ll continue to see strong growth driven by international customers, the improvement in domestic customer spending, and expansion of new product distribution. Our government and industrial robot division’s revenue grew more than 20% in Q3 over the same quarter last year as we began fulfilling orders received early in the quarter. We are on track to deliver the 2011 expectations we shared in February. Last quarter I provided you with our expectations for awards of both PackBot and SUGV IDIQs as well as delivery orders that we anticipated receiving prior to the end of the US government’s fiscal year end on September 30th. We received and announced all of those contracts during the quarter. To recap, we’ve received a five year $60 million IDIQ contract from the Army for up to 300 PackBots which will allow the Army to buy PackBots, spare parts and repair services primarily to support foreign military sales. We received a delivery order for approximately $1 million under this contract. A two year $51 million IDIQ contract from the US Army for up to 350 SUGV 310s and an initial $11 million delivery order for 70 units. A $21 million delivery order under our existing $230 million IDIQ from NAVSEA for 100 PackBots. In addition, we have begun building 76 SUGVs for the brigade combat team modernization low rate initial production initiative under an authorization to proceed from Boeing, and our small first look throwable recognizance robot is being considered by the DOD to meet the needs of a joint urgent operational need statement for an ultra light recon robot capable of supporting dismounted operations. All of this is very good news and speaks to the ongoing demand by the federal government for cost effective products that enable improved mission efficiency while keeping war fighters out of harm’s way. Our robots are part of the future. During the quarter we also announced the partial termination of the BCTM contract by Boeing. This termination impacted only the development work we were doing under the contract which we stopped as of September 30, 2011 and not the aforementioned low rate initial production. There continues to be very strong demand for this product from the soldiers in the theater and support from military leadership. Therefore, we are working with the government on a bridge contract that would reinstate the development work until a new contract vehicle is awarded in 2012. This action will have a nominal impact on 2011 revenue. We have estimated the addressable market for SUGVs to be approximately 15,000 robots over the next five to seven years. The US Army has a written requirement for the purchase of 8,200 SUGVs and the balance of the opportunity is comprised of our estimate of the potential demand from other branches of the armed services as well as international customers. The timing and form of the contracting vehicle or vehicles to procure the SUGVs are uncertain given the current situation in Washington. Going into 2012, we expect the federal government to be operating under a continuing resolution and that the defense budget will be cut further following the completion of work by the joint select committee on deficit reduction. Our decision to implement a reduction in force was driven primarily by a cutback in external research and development funding from the government in 2012 which we expect will directly impact our G&I contract revenue next year. That said, we believe that current demand for our products and technology and the fact that we represent the future of modern military position us well within the defense contractor community. The inherent lumpiness of our G&I business has been exacerbated this year by competing budget priorities in Washington resulting from the state of the US economy. The delayed passage of the 2011 budget resulted in lower year-over-year growth for our G&A division in 2011 and we expect a similar challenge in 2012. In summary, our home robot business is exceeding our expectations while our government business is on plan to deliver 2011 expectations. Because of our confidence in delivering more profitable results than we discussed in July, we are increasing our expectations for the full year. I will now turn the call over to John to review our third quarter results in more detail.
John J. Leahy: Our performance in the third quarter was very strong. Revenue, earnings per share, and EBITDA all exceeded our expectations. Revenue was $120 million for the third quarter, an all time high for this period and we are on track to deliver another record year. Growth in our international home robot business continued to show strength despite global macro issues. Our government and industrial robot business grew more than 20% in the quarter, consistent with the expectations we’ve discussed on previous earnings calls this year. Earnings per share for the quarter were $0.50 compared with $0.27 in Q3 last year. Excluding the impact of a $3.5 million tax benefit in 2011 and the $2.3 million onetime benefit recorded in 2010, EPS for the quarter would have been $0.38 compared with $0.18 for last year. EBITDA for Q3 increased more than 75% to $20 million and year-to-date EBITDA has grown 37%. Importantly, EBITDA reached 17% of revenue, our highest level ever during the quarter. Operating cash flow was very strong at $25 million in Q3 and $19 million year-to-date due to record net income and reduced inventory levels. Our cash and investments totaled $145 million, up $38 million from Q3 last year. Our return on invested capital or ROIC is now in the high teens. Our cash and ROIC are the highest in the company’s history. In the home robot division, revenue was $72 million, increased 32% from a year ago. International revenue increased 56% in the quarter year-over-year and comprised 75% of home robot revenue. While domestic revenue was down 10% in Q3 due to timing of shipments, we expect that market to rebound in Q4. Home robot gross margins improved 500 basis points, primarily due to product and channel mix. In the G&I division, revenue was $48 million compared with $40 million a year ago. Product life cycle revenue was $12 million or 32% of G&I product revenue. As anticipated, we made significant shipments of PLR in the third quarter and expect to do so again in Q4 which will result in full year PLR equal to 25% to 30% of G&A product revenue. Product backlog at the end of the quarter was $28 million. For the total company, gross margin for the quarter was 42% compared with 35% last year, up more than 600 basis points. The year-over-year increase was driven primarily by favorable revenue mix in home robots and higher overhead absorption in G&I. Gross margins have improved more than 1,000 basis points from two years ago. Operating expenses grew to 29% of revenue from 27% in Q3 last year. The increased was due to higher investments in our R&D which were up 45% in Q3 and 58% year-to-date. Increased spending on marketing programs up 36% in the quarter and 30% year-to-date, also contributed to the higher operating expenses. We began these initiatives in the third quarter of last year and built the increases into our 2011 plans. Now I’d like to provide you with additional detail for the financial expectations Colin discussed as well as color on the balance of the year. We expect Q4 to be a strong finish to the year with revenue growth higher than our record breaking Q4 last year. We expect Q4 revenue to grow more than 15% over last year to a range of $130 to $135 million, EPS of $0.26 to $0.30, and EBITDA of between $16 million and $18 million. For the full year, we expect revenue of $465 to $470 million, EPS of $1.32 to $1.36, and EBITDA of $67 to $69 million. Importantly, EBTIDA which we consider to be our key profitability metric will reach 15% for the full year 2011. This is a full year ahead of schedule for retaining our mid teens EBITDA margin goal. For the full year, we expect home robot revenue to grow more than we anticipated at roughly 21% to a range of $275 to $280 million. We expect G&I revenue to be $190 to $195 million or roughly 12% growth in line with our previous expectations. Fulfillment of G&I contract awards received in Q3 will result in higher robot shipments in Q4 than in Q3. Home robot revenue should be up slightly in Q4 over Q3 due to the holiday season but not as significantly has it has been historically due to the non-seasonal nature of our international business. We completed two tax initiatives during the quarter which resulted in a lower Q3 tax rate and lower actual cash taxes. We booked accumulative benefit associated with a Section 199 deduction which is available to domestic manufacturers and software developers. The second initiative involved a comprehensive true up of R&D tax credits claimed in prior years. Our Q4 tax rate will be roughly 31% and 25% for the full year due to the Q3 benefit. As Colin indicated earlier, for the full year we are increasing our expectations for EPS and EBITDA. Cash from operations is expected to total $35 to $38 million in line with our goal of high single digit operation cash flow margins. Finally, as we are working on our 2012 annual operating plan and the targets underlying our three year financial plan, I’d like to note several things. As you have heard Colin discuss, we are expecting an overall decrease in DOD spending that will impact us at some level. Our G&I business will likely not grow at the annual rates we have seen over the past couple of years. In 2011 we felt the impact of a continuing resolution when we set divisional growth expectations at mid teens following a year in which revenues grew nearly 30%. The reduction in force that Colin discussed is based on our expectation that G&I growth will slow in 2012. However, the action will result in savings that will help ensure our continued strong financial performance. Our home robot division continues to grow in long time and in new markets through the sale of existing and new products. It currently comprises more than 60% of the company’s revenue and we expect it will drive iRobot’s growth over the next several years as the government sorts through its budget issues. Now I’d like to turn the call back to Colin.
Colin M. Angle : Our results in the third quarter exceeded our expectations. Our international home robot business continues to perform well in long term markets as it lays the groundwork in new markets. Our two new home robot products continue to sell well no our website and retailers are very excited about having them for the holiday season. We received and announced all of the government contracts we anticipated which will enable us to meet our increased expectations and R&D funding is up 58% year-to-date demonstrating our continuing commitment to investing in our future. I’d like to leave you with a few thoughts about how I see the company and our vast opportunities. iRobot is the leader in providing remote presence in automated home maintenance solutions and we are committed to continue making the technology investments required to make and maintain our leadership position for years to come. Both the Roomba and PackBot, our flagship products have been sold around the world for nine years and we are currently producing the sixth generation of Roomba. We have significant runway with our core home robot products as the current market penetration is still less than 10%. Beyond our core are many potential products to further automate the home inside and out that we can bring to the market through internal development or acquisition. We have built bigger and smaller versions of our PackBot platform, the warrior first look robots, in response to the developing needs of our military customer. Our technology is enabling increased autonomy to improve the tempo of operation and the effectiveness of the war fighter. And through continued development our robots will reduce the cost of conflict through force multiplication. Importantly, we have exceeded our core three year financial goals for revenue growth, EBITDA margins and operating cash flow. Today iRobot is a diversified global technology company with a portfolio of products meeting the needs of customers worldwide and our exceptional results reflect the increasing diversification of the company. We are successfully meeting the challenges of international economic uncertainty and continuing unresolved budget issues by delivering multiple products into multibillion dollar automated home maintenance and remote presence global markets. With that we’ll take your questions.
Operator: (Operator Instructions). Your first question comes from Analyst for Paul Coster – JP Morgan.
Analyst for Paul Coster – JP Morgan: Looking out to 2012 on the G&I side, you expect the growth rate to be coming down from the past couple of years, but at this point in time are we still expecting growth or do you think there could be potential declines there?
Colin M. Angle : Right now we’re not giving our 2012 guidance. We’re trying to give you a little bit of color. I think that certainly trend wise we’re seeing a decrease in growth rates, where it falls we happily have a few months to figure that one out in more detail.
Analyst for Paul Coster – JP Morgan: Can you give an update on the international launches? I think last time we heard that South America would become material in 2012 and that China would become material in 2013. Is that still the case?
Colin M. Angle : Absolutely, those are the expectations that we’d like to be setting. We think we’re getting on track to some momentum in South America so that that will become something that is a revenue driver and I think that China, while we’d love it to move more rapidly experience has shown us that a little bit of conservatism in ensuring we have time to make sure our strategy is working would push out materiality to 2013.
Operator: Your next question comes from Jim Ricchiuti – Needham & Company.
Jim Ricchiuti – Needham & Company: I apologize, I joined the call late so if this was already discussed in the Q&A I can take this offline. But, I just had a question on the rollout of the 700. Have you indicated at all as to how many retail stores you’re in in the US or you expect to be in in Q4?
Colin M. Angle : We have not. What we have said is that our strategy for new product launches in home robots starts with a very controlled direct launch and that’s what we did at the beginning of this year, followed by retail expansion to select customers. So you will start to see the Roomba 700 in higher end specialty retail in the back portions of this year and internationally we’re also rolling it out to more of our specialty retail channels around the globe. Over time you will see the 700 series broaden in its retail distribution as part of our strategy.
Jim Ricchiuti – Needham & Company: Colin, in the select retail outlets that you are putting the 700 into, will it be in addition to all of the 500 series models that they’re carrying or will it replace one SKU?
Colin M. Angle : It will replace the highest end 500 series and take over the spot as the most advanced product in our line. The remainder of the 500 series will stay intact in our distribution. So we will have executed a little bit of a product transition. In fact, in those retailers we’ve been working that through already this year so that the retailers who are getting it will have a spot on the shelf and will have appropriate inventory levels of all of our products.
Jim Ricchiuti – Needham & Company: Just one follow up just with respect to the G&I business and the restructuring move, again if this was asked I can take this offline, but just can you talk a little bit about whether some of these reductions or how much of these reductions are being concentrated in the UUV segment of the business?
Colin M. Angle : Very, very small. This was a move necessitated by our outlook for 2012 externally funded research and development. If you look at our numbers you’ll see substantial increases in internal research and development in order to make sure the company continues to make the investments required as we our outlook for government sponsored externally funded research and development becomes more lumpy and unpredictable. So it’s a strategic and necessary move and reaction to our view of how the government is going to operate over the next few years.
Operator: Your next question comes from Adam Fleck – Morningstar.
Adam Fleck – Morningstar: A quick question on the home robot side again, international growth was obviously up very strongly during the quarter. What were the main geographies of that strength?
Colin M. Angle : Our traditional geographies both Europe and Japan have been extremely strong and so that it is playing out of the strategy we put in place. I would say if you compare our growth rates in Q2 versus Q3, in Q2 you saw a little bit of inventory management to ensure that the retailers were ready to take the 700 series as we brought it to them. Then our Q3 numbers certainly benefitted by that same carefully managed transition and inventory. But it remains a very, very strong area for us and we see, as I said in the call, outpacing the negative impacts of the economy.
Adam Fleck – Morningstar: Then taking it back to the US, sales domestically feel both sequentially and year-over-year. It’s typically a seasonally stronger period, should we read into that at all? Is that caution on the part of retailers or is that more of a timing issue?
Colin M. Angle : It is timing and I think that certainly retailers are cautious. The more cautious they are the less aggressively they buy ahead, but our expectations reflect a strong confidence in a very good fourth quarter for us. And so we are raising our guidance based on our confidence and what the retailers in the US are telling us. So we feel good about the fourth quarter. The primary issue is timing and it’s impossible to say but there is some impact as we mentioned in caution on a retailers part which helps or affects exactly the timing of when a retailer is taking product.
Operator: Your next question comes from Josephine Millward – The Benchmark Company.
Josephine Millward – The Benchmark Company: The Senate recently cut fiscal year ’12 BCTM unmanned ground vehicle funding from the House’s markup. Can you talk about how you see this playing out when the Bill goes to conference? And if you don’t have an acceleration of SUGV floating from the base budget, how do you get visibility for government growth next year?
Colin M. Angle : The way we approach our build ups for the year is by looking at the whole picture including international markets, handicapping what we think is going to come in, and then creating a weighted average expectation of what we believe is going to happen. And so what we saw this year, did everything play out exactly as we thought? No, but are we on track to hit our expectations that we laid out all the way back in February? Absolutely. So we like our strategy. What is happening, and the messages we’re receiving, there is a lot of strong demand which can manifest itself from a perspective of orders, in many different ways. So I’m unable to tell you exactly how and through what contracts the robots are going to flow this time but suffice it to say we see multiple paths through which the needs being driven by the solider in the field and the Pentagon will manifest themselves. It is a murky and a cloudy environment in which we are operating so that we have to spend a lot of time in Washington, a lot of time talking with our supporters and with our end users. But, it is an area which I think is far from bleak because of our unique positioning in the marketplace. So not a great and clear detailed answer I know that you’re looking for, but it is a basket of opportunities strategy which we’re looking for. And it has worked for us through some very challenging times in the past. We tend to be conservative, try to get ahead of things, but we receive very, very strong messages that our robots are in demand, are need, and we should expect continued acquisition programs for those products.
Josephine Millward – The Benchmark Company: Since you don’t have a lot in your backlog for next year, and I know you have a wide range of opportunities, perhaps you can talk about what they are, what do you expect to drive growth next year? Is it a throw bot, is it more SUGV? If you can expand on that a little bit.
Colin M. Angle : I can give you a little bit of color. I think we would expect a decrease in absolute units on the PackBot side. I think that SUGV procurement levels being roughly on the same order, and I think that the smaller throw bot robots is an area where we think there is substantial opportunity next year so that is going to be very material for our 2012 plans. We’ll also see some beginnings of market development on the warrior side and demand for our maritime robots will also see some real increases. So it’s across the board. We’re very happy to be diversified and have multiple products in the marketplace with which to drive revenue.
Operator: Your next question comes from Barbara Coffey – Brigantine Advisors.
Barbara Coffey – Brigantine Advisors: Could you give us some signposts that we should be watching for from the super committee? What kind of numbers are you even hearing being thrown around as for defense cuts and what would that mean to you if it sort of hits the worst case scenarios?
Colin M. Angle : I really don’t have anything constructive other than to say that I hope that our government will do what it is being paid to do and work through these hard issues so as to avoid seeing some automatic cuts to programs. Certainly if it happens it’s not a good thing and as we look at the prioritization that the DOD will have to go through in order to figure out how to spend its money will be more challenging for them. We have a motto around here when it comes to the government side about how we feel fortunate that we will be negatively impacted less than most. I think that it is important and I’ll reiterate a point that John made, is that in 2011 home robots grew 21%, G&A grew 12%. G&I is 40% of our revenue and as we look forward we can be again, very happy that we are a diversified company. That 60/40 split could further separate making challenges in achieving our traditional growth rates in G&A less impactful, positioning us very well to work through whatever hiatus in growth the US government throws at us, and continue to strongly perform as a leading high tech company. So again, diversity is our friend, product diversity in G&I is our friend and we are managing as best we can.
Operator: Your next question comes from Brian W. Ruttenbur – Morgan Keegan.
Brian W. Ruttenbur – Morgan Keegan: First of all gross margins were very strong in the period. How do you see gross margin shaking out in the fourth quarter?
John J. Leahy: Gross margins we’ve seen great success over the last couple of years, and as I mentioned in the remarks it’s up about 1,000 basis points from two years ago. So we think the margin improvements we’ve made are sustainable and they are influenced by product mix, channel mix, our mix between domestic and international. But in our numbers we don’t expect a meaningful change in Q4 from what you saw in Q3.
Brian W. Ruttenbur – Morgan Keegan: Is there room for expansion with scale? Because typically in the fourth quarter you have such large volume shipments on the commercial side, is there going to be an expansion of the margins potentially because of that?
Colin M. Angle : I think that when you look at what drives margin expansion, traditionally it’s been revenue growth in G&I which more fully absorbs overhead and gives us margin growth. And while we’ll see some increase in G&A in revenue it’s not particularly significant which means that you’d expect G&A to be flat from a margin improvement perspective Q3 to Q4. And on the home robot side, that is a little less coupled to revenue, more to product mix and customer mix. I think that with the 700 series continuing to roll out there may be some small impact because the 700 series is positive to our margins. But as we said in the call, we’re expecting gross margins – Q3 already was a very strong quarter from a margin perspective and we expect to hit that full year 15% which John laid out and we feel very, very good about. In the future, we do think that there are opportunities for some amount of continued margin expansion though not at the truly breathtaking rate that we’ve been able to execute over the last two years. We’re very happy to be at mid teen margins and sort of committed long term to a slow continued march forward.
Brian W. Ruttenbur – Morgan Keegan: Just a couple of other housekeeping minor things. Currency exchange impact in the quarter, I don’t think you mentioned that or have talked about it that much. Was it significant in the period?
John J. Leahy: No, not meaningful.
Brian W. Ruttenbur – Morgan Keegan: Then on the commercial side of the growth, new markets you talked about existing markets were driving a lot of the sales I believe, and during the Q&A, and I just want to make sure I was clear on that. Is it new specific countries that are driving some of the growth also?
Colin M. Angle : The main driver of the growth is existing markets. Latin America not material this year, will start to become material next year. And the major market of China, we see it will help us add to our growth in 2013.
Brian W. Ruttenbur – Morgan Keegan: Last question, this is a real housekeeping question, tax rate in 2012 is it going to be at that 25% to 30% level or should it be 30% to 35% as you look out?
John J. Leahy: We haven’t finished our planning yet for 2012 yet but for Q4 you should assume about 31% as that bounces back just from the benefit we had in Q3. For next year, we don’t expect to have these large one time benefits that we experienced this year so we’ll probably be back somewhere in the mid 30s but that’s a very preliminary number.
Colin M. Angle : That concludes our third quarter earnings call. We appreciate your support and look forward to talk to you again in February to discuss Q4 and our expectations for 2012.
Operator: Ladies and gentlemen we thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect. Have a good day.